Operator: Ladies and gentlemen, welcome to the Ardagh Metal Packaging S.A. Fourth Quarter 2024 Results Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Mr. Stephen Lyons, Investor Relations. Please go ahead, sir.
Stephen Lyons: Thank you, operator, and welcome, everybody. Thank you for joining today for Ardagh Metal Packaging's fourth quarter 2024 earnings call, which follows the earlier publication of AMP's earnings release for the fourth quarter and the full year. I'm joined today by Oliver Graham, AMP's Chief Executive Officer, and Stefan Schellinger, AMP's Chief Financial Officer. Before moving to your questions, we will first provide some introductory remarks around AMP's performance and outlook. AMP's earnings release and related materials for the third quarter can be found on AMP's website at ir.ardaghmetalpackaging.com. Remarks today will include certain forward-looking statements and include the use of non-IFRS financial measures. Actual results could vary materially with such statements. Please review the details of AMP's forward-looking statements disclaimer and reconciliation of non-IFRS financial measures to IFRS financial measures in AMP's earnings release. I want to turn the call over to Oliver Graham.
Oliver Graham: Thanks, Stephen. So 2024 represented a successful year for our business as we delivered a double-digit adjusted EBITDA increase, underpinned by 3% growth in global volumes. Our growth drove improved capacity utilization and fixed cost recovery, while the business achieved stronger input cost recovery than anticipated and delivered further operational cost improvements. Europe's adjusted EBITDA performance was consistently strong, demonstrating good volume growth as the industry recovered from customer destocking in the prior year. Performance in the Americas was resilient, with a higher adjusted EBITDA despite temporary customer unfilling location issues in Brazil and softness in the energy category in North America. Our actions on liquidity and strong adjusted EBITDA generation resulted in AMP ending the year with nearly $1 billion of liquidity and a reduced net leverage ratio of 4.9 times net debt to adjusted EBITDA. In the fourth quarter, adjusted EBITDA grew by 11% versus the prior year to $164 million. Our performance was positively impacted by higher than forecast sales volumes and production in Europe with a particularly strong end to the quarter. Americas performance was broadly in line with our expectations, supported by an encouraging improvement in monthly volumes through the quarter in Brazil and strong operating cost of products in North America. Across our global footprint, the beverage can continues to gain share in our customers' packaging mix. While we're still in a challenging consumer environment, the advantages support our expectation for industry shipments growth into 2025, and we are encouraged by our start to the year. We're confident that we can drive further growth in adjusted EBITDA in 2025 through increased shipments and further improvements to capacity utilization as well as operational improvements. All of which more than offset some inflationary pressures and currency headwinds in Europe. We also made strong progress towards our sustainability agenda in the year, including the publication of our first roadmap report highlighting how our scope three emissions, which represent the majority of AMP's overall greenhouse gas emissions, were below the 2030 target level in 2023. Reflecting the successful implementation of our strategy and the overall industry's strong progress on decarbonization. We signed agreements for a solar project in Germany and a virtual power purchase agreement in Portugal. Both of which significantly advance our progress towards our renewable electricity targets. And finally, we were delighted to record a reduction in both our overall total recordable incident rate and accident severity rates in 2024, something that is critical for us. I'll turn now to AMP's fourth quarter results by segment. In Europe, revenue increased by 27% to $552 million or 22% on a constant currency basis compared with the same period in 2023, principally due to favorable volume mix effects in the past year of hiring book cost to customers. Shipments grew by a strong 8% for the quarter ahead of expectations, with a particularly strong end to the quarter. For the year as a whole, shipments grew by over 4%, representing an encouraging return to growth following customer destocking in the second half of 2023.
Stephen Lyons: Growth in the year was broad-based both by category and by geography.
Oliver Graham: Customers continue to prioritize beverage cans in their packaging mix, reflecting both the can's competitiveness and its sustainability advantages. We expect this to continue as evidenced by customers' own investments and Europe's various sustainability regulations. Fourth quarter adjusted EBITDA in Europe increased by 81% to $56 million or by 70% on a constant currency basis due to positive volume growth and stronger input cost recovery. Our strong performance in 2024 and a positive early start to the year gives us confidence to project shipments growth of 3% to 4% for 2025. Capacity remains tight in the region, but the continued ramp-up of our more recent investments will support this growth. Turning to the Americas, revenue in the fourth quarter decreased by 7% to $653 million, which reflected unfavorable volume mix effects partly offset by the pass-through of higher input costs to customers. America's adjusted EBITDA for the quarter decreased by 1% to $108 million due to lower volumes, principally due to the aforementioned customer mix issue in Brazil and the softness in the energy category, which was partly offset by lower operating costs. In North America, shipments declined by 2% for the quarter and grew by over 2% for the year. Fourth quarter decline in shipments was in line with our expectations and reflected temporary softness in the energy category as well as a strong prior year comparable. In both the fourth quarter and across the year, we saw good growth in both carbonated soft drinks and sparkling waters, which combined represent circa 60% of our portfolio, as well as growth arising from share gains in mass beer, which represents only a small part of our North America portfolio. Our diverse portfolio in North America is heavily skewed towards faster-growing non-alcoholic categories. Customer innovation continues to favor the beverage can, and the can continues to take share of the overall packaging mix. We've also seen some signs of stability in the energy category, which gives us confidence that our shipments can grow at least by low single digits in 2025. In Brazil, fourth quarter beverage can shipments decreased by 15%, which primarily reflected a specific customer mix billing location issue. We were encouraged by the improvement in monthly volumes towards the end of the quarter, and we would note that shipments excluding this customer grew by 7%. Full-year shipments were similarly affected by the specific customer issue, decreasing by 5%. The Brazilian beverage can industry also experienced lower growth in Q4, with some improvements in December. As a result, the full-year growth percentage dropped into the mid to high single-digit range after the double-digit growth in the first part of the year. Balancing our overall positive outlook for the market and the broad strength of our customer portfolio with some appropriate caution after the events of the second half of 2024, we're confident in at least a low single-digit percentage growth for our Brazilian business in 2025. And therefore, between North America and Brazil, we also expect shipments growth in the Americas of at least a low single-digit percentage in 2025. I'll hand over to Stefan to talk you through some remarks on our financial position before finishing with some concluding remarks.
Stefan Schellinger: Thanks, Ollie, and good morning, good afternoon, everyone. We ended the year with a robust liquidity position of close to $1 billion, in line with our expectation. That includes a seasonal working capital inflow in the fourth quarter. Net leverage at year-end stood at 4.9 times net debt over adjusted EBITDA, representing a meaningful reduction compared to the prior year of 5.5 times. Our liquidity position benefited from the signing of an unutilized Brazilian credit facility in Q4 for around $80 million. We note that in addition to our strong liquidity position, we have no near-term bond maturities. As we have previously indicated, AMP's capital structure is separate from Ardagh Group. AMP generated an adjusted free cash flow of $204 million in 2024 compared to $160 million in the prior year. The modest decrease was mainly driven by lower working capital inflow, which was partly offset by a significant reduction in our growth investment CapEx. We expect a small outflow in working capital for the financial year 2025. Our growth investments in 2024 reduced to $68 million. In terms of other cash flow items, we broadly expect the following for 2025: Cash interest increased to just over $200 million, lease principal repayments of approximately $105 million, cash taxes to increase to close to $50 million given that previously available tax losses have been utilized and we expect fewer tax regions being in place in 2025. Maintenance CapEx of around $135 million and small exceptional cash outflows in the order of high single-digit million. We have today announced our quarterly ordinary dividend of $0.10 per share to be paid late in March, in line with guidance and supported by our robust closing liquidity position. There's no change to our capital allocation policy. With that, I'll hand it back to Ollie.
Oliver Graham: Thanks, Stefan. So just recapping on our performance and key messages before the Q&A. Adjusted EBITDA growth in the fourth quarter of 11% was ahead of expectations. This was driven by a strong performance in Europe, and that was a consistent feature through the year. Full-year adjusted EBITDA of $672 million was strongly ahead of our initially projected range of $630 million to $660 million, and this was despite softness in the North American energy category and our customer mix billing location issue in Brazil, both of which have shown recent improvement. Our actions on liquidity and strong cash flow performance resulted in our robust year-end liquidity position of nearly $1 billion. Our current view of the market leads us to project global shipment growth for AMP in 2025 in a range of 2% to 3% and full-year 2025 adjusted EBITDA in the range of $675 million to $695 million. Our EBITDA guidance is supported by higher shipments and improved fixed cost absorption, partly offset by some inflationary pressures in Europe and currency headwinds. Based on prevailing rates, FX represents a certain $9 million headwind versus the prior year. In terms of guidance for the first quarter, adjusted EBITDA is expected to be in the range of between $140 million and $145 million, ahead of the prior year of $132 million on a constant currency basis. So having made these opening remarks, we'll now proceed with any questions.
Operator: And ladies and gentlemen, if you'd like to ask a question, please press star one on your telephone keypad. If you're using a speakerphone, please make sure your mute function is turned off to allow your signal to reach our equipment. Again, press star one to ask a question. We'll pause for just a moment to allow everyone the opportunity to signal for a question. Our first question comes from Stefan Diaz with Morgan Stanley.
Stefan Diaz: Hi. Good morning. Thanks for taking my question. So maybe my first one is on tariffs. So, obviously, you know, LME and the associated premium is a pass-through for you all. But can you provide additional details on how you're thinking about the potential implications on demand?
Oliver Graham: Sure. Yeah. I understand. So we're very consistent with the other commentary that you've seen in the market in the last week or two. So, the first thing to say, I think, is that we see a relatively small impact on the total retail price of the can, certainly less than one cent. And therefore, you know, that's it. It's all passed on to the consumer. Which, you know, given the amount of inflation we've seen in can pricing in the US in the last few years is a relatively small number. We do see that in 2025, a lot of this should have been hedged. And therefore, there should be less impact in 2025. And as you say, from our perspective, it's pretty much a pass-through in any case. You know? So in terms of our numbers, it doesn't touch them. So I've seen commentary saying maybe there's some indirect impact on demand, you know, I guess that could be true, but, you know, I have to admit from our perspective, we regard that as a pretty marginal impact.
Stefan Diaz: Perfect. Thanks for the color. And then maybe if you could dig into your America's results a little bit. You know, obviously, you called out the customer-specific headwind in Brazil and some energy weakness in North America. And maybe how are those headwinds sort of shaping out in the quarter so far in 2025? And, you know, do you expect those headwinds to resolve quickly here in 2025 as well? Thank you.
Oliver Graham: No. Yeah. Good question. So look, I think on the Brazil side, we mentioned it in the remarks. But we already saw improvement in Q4. So in December, we already saw a good recovery in those volumes, and that recovery has persisted into January and February. So I think we're very encouraged by the way that situation has resolved at the moment. And would hope that would continue through this year. Then similarly on the energy category in North America, there was clearly improvement towards the end of the year. I think we suffered a bit more than the total market in our mix from what we can see because, actually, we could see some improvement on the retail data on the energy category already in Q4. We do see that in our numbers as we go into Q1 that there is recovery in the energy category. So I think, you know, we're hopeful for 2025 that both those issues have worked their way through.
Stefan Diaz: Great. Thank you so much. I'll turn it over.
Oliver Graham: Thanks, Stefan. And our next question comes from Josh Spector with UBS.
Josh Spector: Yeah. Hi. Good morning, guys. I wanted to ask on your forecast around growth. I think when you're talking about the US specifically, you said low single-digit percent, but you said you could potentially, I think you said minimum of low single-digit percent. Sorry. So curious if there's areas where you had more optimism or visibility now or if that was maybe I'm reading into that too much.
Oliver Graham: No. I don't think you're reading too much. I mean, I think that, you know, this energy category piece is a key part. So obviously, we're feeling positive about that with what we're seeing at the beginning of the year. I think we're seeing strength in other parts of the portfolio, carbonated soft drinks, alcoholic cocktails. So, you know, we still remain positive about the North American beverage can market. And I think if you go back five years and you look at average growth, it's in that, you know, 2% range on average. Obviously, it went up a lot and bumped along a bit as you know, we'd sort of overgrown in the first part of that period, but we didn't lose that growth. And the drivers of that growth that we saw from 2018, 2019 onwards, which is sustainability piece with, you know, some reduction in the focus on plastics, and the innovation, they're still in place. And although there's a little bit of commentary around now with tariffs and other market remarks about plastics, we think that, you know, there's still a drive towards not over-investing and over-prioritizing plastics relative to cans, and that's all we need because, you know, when the North American can market was flat, it was because PET was growing at the expense of cans by, you know, 3% a year, we were down. That's no longer true. And we see that actually again, CSD is in positive growth at the beginning of this year. So, you know, I think at low single digits for the market is a very realistic number. We think we've got aspects of our portfolio that mean we could be a tick ahead of that. But we're not calling that by a huge amount. But we're certainly positive about North America for this year.
Josh Spector: Thanks. And somewhat related, I guess, on the energy category specifically, there's been some recent M&A in this space. And I don't know if you could just characterize are some of those changes good or bad for you? Does that increase your share with some existing customers and pull volumes in, or is there risk of some diversification from that?
Oliver Graham: Yeah. We don't see any risk. You know, they're both good market players. I mean, we obviously have relationships with many people in the energy space. It's a strong space for us, so we don't see any risk to us from that. Nor do we see any particular upside from it. At this point, we don't know. But so we yeah, look. It looks like a good deal. Both strong brands. I'm sure they'll do very well.
Josh Spector: Okay. Thank you.
Oliver Graham: Thanks.
Operator: And our next question comes from Anthony Pettinari with Citi.
Anthony Pettinari: Good morning. Looking at your 2025 outlook, you know, assuming you achieve your volume growth targets, is it possible to say kind of where that would leave your utilization rates in North America and Europe? And then maybe more broadly, if you could comment on sort of how industry supply-demand sort of feels in those two regions if it is, you know, tight, loose, balanced, tight, sort of characterize it.
Oliver Graham: Sure. So, yeah, North America, I think we still have some, you know, fairly permanently curtailed capacity in North America. So I think we'll be running in the mid-nineties. It feels pretty tight at the moment, to be honest. And I think the market overall is relatively balanced with the sorts of actions that we're taking also being taken by the market participants. So I think the industry probably is in the low nineties relatively naturally and then into the mid and even high nineties with those types of curtailment. And as I said at the minute, for us, the market, you know, it feels quite tight. I think if we look at commercial activity, there clearly is capacity that concerns us too much. So I think North America is in a reasonable place. And Europe, you know, feels pretty tight as well and did all through last year, particularly continental. I think there's more capacity in the UK, but on the continent, through the whole year, we had regional shortages. We had shortages on certain sizes, particularly specialty. And we don't see that changing much into this year because, you know, we've seen other players, you know, we're ramping, we're all ramping some of the legacy first we've already put in, but we're not seeing particularly new capacity coming to market. So, you know, apart from those ramp-ups. So with the growth that we're seeing, and, again, the first two months have been strong in Europe, we think that that market's gonna feel pretty tight through the year. And Brazil, yeah, I think there's capacity around again. It's being curtailed pretty strongly in certain places, including by us in the northeast. And with that, I think the market's, you know, relatively balanced, sort of probably in the 90% area. And, again, we actually had shortages last year in certain locations and sizes because Brazil is such a big country, you can get that kind of effect. So overall, if we look across our business, it feels like all three markets are in a decent place.
Anthony Pettinari: Okay. That's very helpful. And then just on Europe, I'm curious on glass to metal substitution, you know, given the strength that you and others have had in Europe, is that something that is accelerating? Are there specific product categories or geographies where you're really seeing a shift into cans? And is it, you know, cost of living crisis or maybe change in consumer taste? I'm just wondering if that's really changed or accelerated or there's anything you can pinpoint on glass to metal substitution in Europe specifically.
Oliver Graham: Sure. Yeah. Look. I think there's a long-term glass to metal substitution in Europe. As we've seen two-way bottle systems declining and one-way packaging increasing in the can, taking share. So, you know, if we look at the growth in Germany after the can was reduced to very low share in the early nineties and two-thousands, you know, that recovery is significantly about glass substitution as well as plastic substitution. And then I think the piece that's given that some extra impetus in the last couple of years is the price of energy. Obviously, much more significant in glass than in metal. And so that has meant, you know, some competitive differential between the two substrates. And that was mitigating, I think, in the second half of last year, but now energy prices are strengthening slightly. Not a huge amount, but they've not continued to come down in the last few months. And so I think the can does continue to maintain some competitiveness advantage off the back of that. And, actually, if you look at our way our PPI rates are running in Europe, which are negative, so pass-through on the can is really low at the moment in terms of price pass-through to customers. But the can is remaining very competitive in the mix. I think to that, with the sustainability advantages, there's a very clear roadmap for the can to decarbonize, which again is much harder on other substrates. I think that's driving the pack mix share gains that we're seeing. And that was very consistent through the year. And would anticipate that continuing through 2025 and beyond.
Anthony Pettinari: Okay. That's very helpful. I'll turn it over.
Stephen Lyons: Thanks, Anthony.
Operator: And our next question comes from Arun Viswanathan with RBC Capital Markets.
Arun Viswanathan: Great. Thanks for taking my question. I guess, Ollie, so maybe I'll ask about North American demand. Maybe you can just run through some of the categories. We've, you know, obviously, seen some weakness in beer. Do you expect that to persist and maybe potentially even get worse in the threat of Mexican tariffs? And then what about energy and nonalcoholic as you see it evolving over the next year? Thanks.
Oliver Graham: Sure. I think I mentioned that I think carbonated soft drinks have started the year strong. We do anticipate growth like we saw last year. And if you look at the Nielsen data into the back end of the year, you certainly saw some strengthening soft drink growth in cans. And that seems to be the way the year has started out. So we feel positive about that. Energy, I touched on, I think there will be a recovery this year relative to last year, which is, you know, in a way, the category took a bit of a breath last year. There's been a lot of innovation from 2021 to 2023, alcohol innovation, other products, coffee-based, replacement. So I think that, you know, 2024 was sort of the year when some of that growth came off after some strong years, but 2025, I think, market participants have got that back in order. And will be driving growth. And some of that destocking we saw also as they moved into different distribution systems has also finished. So we'd be feeling good about the energy category for this year. I talked about how alcoholic cocktails, I think that's a good space. There's definitely growth in there. And we're seeing that in our portfolio. And then, yeah, mass beer, I think, continues to be somewhat challenged by GMEX and tariffs depending if they're on filled goods could be a positive for domestic production and domestic supply. But we're, you know, it's a relatively small part of our portfolio. It's clearly the weaker part if you look at the market data for last year. You know, that clearly is the weaker part of the portfolio. Then another one I'd call out is Sparkling Waters had a very strong year last year. We were strong with them. And, again, that looks like that's persisting into 2025.
Arun Viswanathan: Okay. Thanks for that. And then just maybe I can ask about free cash flow and just maybe you can give me a walk from $685 million and some of the offsets to that, whether it be CapEx and working capital, cash tax, and so on. And then how much you expect for free cash flow in 2025, and then how you expect to use that? Thanks.
Stefan Schellinger: Okay. So, basically, you know, we printed adjusted free cash flow of $204 million sort of starting sort of with the EBITDA of $672 million. We had a small inflow in terms of working capital around $40 million, spend around $111 million on maintenance CapEx, and then lease repayment of $97 million, and then we had exceptional restructuring costs of $23 million. And then, you know, we get further down into the capital structure, I'm talking 2024 now. We're at $189 million of interest paid and $28 million cash tax. So how does this compare now, you know, to our 2025 number? So, basically, I gave a little bit of guidance on what to expect. I mean, you've seen our guidance range in terms of EBITDA. $675 million to $695 million. So the key changes probably in terms of the cash flow items are on the working capital. You know, we expect a small outflow in 2025. The maintenance CapEx, we expect to invest more. Some of that is clearly driving productivity, some of that is investments in quality, all sustainability. So we expect around $130 million. And then in terms of growth CapEx, we spent $68 million in 2024, this will be reduced to around a $50 million level. Tax will go up a little bit to $50 million as a result of NOLs having been used. And then also the cash interest will go up to $205 million as a result of new facilities. So that we entered into last year. Then also the lease repayments will go up a little bit to $105 million, given that the new leases are sort of reaching their full run rate. We expect very little exceptional. We've been through our restructuring, sort of, shutdown some of the steel lines and facilities. So net-net, sort of if you do the math, it will be, you know, slight reduction of free cash flow in the new year. And in terms of spending, I mean, there's a capital allocation policy and the dividend policy of the company has not changed. So that will be consistent with what you've seen in 2024. As per our expectation.
Oliver Graham: Thanks.
Operator: And our next question comes from Gabe Hajde with Wells Fargo Securities.
Gabe Hajde: Hi, Ollie, Stephen. Good morning.
Oliver Graham: Okay. I wanted to ask, there's been some question around you talked about tariffs. But potential for the new administration to look at, you know, reformulation specifically, in carbonated soft drinks. And we've done a reasonable amount of work on this. I'm just curious if there's been any early dialogue with customers. I suspect I know what their view is on this, but just how that could play out in terms of cost to the customer, anything that you've come across so far?
Oliver Graham: Yeah. Really not actually. You know, the third I think most of the dialogue is about making sure they're getting supply because we're seeing growth in certainly we're seeing both growth in Europe and North America on the CSD side. Particularly in the beginning of the year, actually. They were strong all year through North America, had some, you know, strengths and weaknesses in the portfolio in Europe, but in general, the CSD category seems in very good health in cans, and that does seem to be continuing. And, actually, the same is true for Brazil even though we're not participating. So yeah. Look. It's a hard one, isn't it? To call what's gonna happen at the minute. But, you know, I'd just say our customers have been very agile and effective in the past at managing different trends and regulations and health concerns and, you know, they're very big and highly professional companies that you'd expect to walk through these sorts of issues. But, yeah, no real dialogue with us, to be honest.
Gabe Hajde: Okay. And then I wanted to, I think it's on slide seventeen in the guidance kind of bullets, you talked about PPI headwinds and then higher metal conversion costs, which don't think we've heard much on that. Maybe in 2021 in terms of conversion costs. I'm assuming the PPI commentary was mostly isolated to North America. If you can confirm that, maybe quantify it for us if you're willing. And then the conversion cost in Europe, is that something that's what's driving that? I guess, number one. And then number two, could that persist in 2026, 2027, or is that isolated to 2025?
Oliver Graham: Yeah. No. Actually, for us, the PPI headwinds are more located in Europe. I saw, you know, peers talking about North America. But, actually, you know, we have negative PPI in Europe at the moment, and, you know, I think, again, our peers have talked about this, but some of our costs never go negative, particularly labor. So we have a when we get into negative PPI, so we have contract structure to try and avoid this, we do get some drag on our pass-throughs. And then, actually, the aluminum conversion cost is also specifically a European issue where the market for coils is shorter in Europe, particularly domestic supply is shorter. We're and people have been prioritizing that a bit. With everything going on in the world. So we're definitely seeing those headwinds more in Europe than in North America where we have transferred our pass-through mechanisms to include much more of a labor mechanism and tend to get better pass-through. We have some headwind in North America, which is just we have talked about, I think, the inevitable reduction in some of the specialty engines that had grown up during COVID times. So but it's not on the cost side. And it's not on the PPI side. So, yeah, I think that's the shape of it. I think this aluminum conversion piece, so this is certainly the peak of the issue. It is also slightly related to the energy cost due in Europe that, you know, energy costs increasing is coming through a little bit and the metal having been shielded a little bit by hedges on their side in the last couple of years. So it's also a lag effect on some of those stocks coming through. But, you know, it is a specifically European issue. We've got, you know, good capacity coming through in North America on rolling mills, which will be very positive for the industry. We're not really seeing these issues in Brazil. We think the European issue, you know, mitigates over the next few years.
Gabe Hajde: Understood. Okay. And last one real quick, just to piggyback on the cash flow in Arun's question. I guess to put some numbers to it, it looks like free cash flow something in the $130 million to $140 million range. And then we've gotta take off there the dividend that you're paying out. So leverage for 2025 at the midpoint of $685 million of the EBITDA is maybe it tickles down to 4.8. Give or take. Is that what you guys are thinking about internally?
Stefan Schellinger: Yeah. I think that's broadly, I think it's all in the ballpark. I think we would expect leverage to be pretty steady relative to what we printed in for this year-end of 2024.
Gabe Hajde: Great. Thank you, guys.
Stefan Schellinger: Thanks, Gabe.
Operator: And ladies and gentlemen, as a reminder, if you'd like to ask a question, please press star one. And our next question comes from Mike Leithead with Barclays.
Mike Leithead: Great. Thanks. Good morning, guys. First question I want morning. I just want to talk about the earnings outlook. As you kind of talk through with Gabe, 2% to 3% volume growth and the EBITDA growth of $10 million to $15 million at the midpoint. I would have thought there's a bit higher of incremental margin you would have gotten on that volume. It seems like you have some headwinds you talked about. Can you just help us better understand the moving pieces? Like, how should we think about the actual benefit from the volume growth and how that's being offset in your guidance?
Oliver Graham: Yeah. Look, I think without any exact numbers, the headwinds we talked about are the headwinds. So the volume growth of 2% to 3% would translate through reasonably normally, and then we have the particularly, the aluminum conversion cost and the PPI headwinds in Europe. The FX headwind that we talked about on a reported basis, and some specialty pricing pressures in North America, which again, I don't think they're broad-based. They're just some specific situations as we come out of the COVID period. So those are the headwinds which mean that, as you say, we're not getting a full translation of the 2% to 3%. On the other hand, we do have some significant operational cost savings as well. We're always working, you know, to improve efficiency at the plant level. We're always working on input cost savings. We're always working on SG&A efficiency, so they are also offsetting some of those headwinds.
Mike Leithead: Got it. Thank you, Ollie. And then for a follow-up, just a question on the cash flow. EBITDA is up this year, but as you mentioned, free cash flow is down a bit. It seems like part of it is higher financing-related costs. Part of it is higher maintenance. I appreciate it's early to think beyond 2025, but just will 2025 be the peak in cash use items? I guess what I'm trying to get at is when can we start generating cash above the dividend here?
Stefan Schellinger: Yeah. I think, as you say, probably a little bit early to talk about that. I mean, there will be focusing here on 2025, I think. So some of the big needle movers trying to be talked about the growth CapEx going, I think we are probably behind the big phase of expansion there and sort of the $50 million to $60 million for this year, sort of $50 million to $60 million, you know, going forward. That's probably not a bad number. I think sort of overall, I think a lot of it is really depending on the, you know, the EBITDA growth, I think, beyond sort of 2025. I think that will drive a lot of the cash flow profile.
Mike Leithead: Okay. Thank you.
Stefan Schellinger: Thanks, Mike.
Operator: And our next question comes from Gabe Hajde with Wells Fargo Securities.
Gabe Hajde: Hey, guys. Thanks for taking the follow-up. And I apologize. My phone kind of cut out for a second when you were talking about Europe. That segment was decently ahead of our model. I think you talked about shipping incremental ends maybe closer to the end of the year or something like that. But just, a, to confirm, and then, I guess, maybe looking at prior Q4s, you're relatively consistent with what you were in 2021. Just trying to understand, like, the improved overhead absorption in the fourth quarter, how much that played into the quarter. And then maybe is there any, it sounds like the strength kind of persisted in Q1, so that sounds like the answer is no. But maybe order ahead of anticipated price increases on the aluminum side, or this canned conversion issue that your customers had sniffed out.
Oliver Graham: Yeah. So, look, I think on Europe, there was no overselling event. If anything, the opposite, we were quite short due to some operational issues on ends. So that was a straight, you know, typical can number, the 8% growth. Obviously, it's true that Q4 2023 was pretty soft because of the big destocking. But that all just played through then into higher production, better utilization, as you say, better fixed cost recovery. So I think everything just came together very nicely in Q4. And particularly into the year-end, you know, we were strong right through to the end of the year. And then I wasn't sure that question about the fixed cost recovery outlook. Obviously, generally across the company, we grew 3% last year. We did improve our fixed cost recovery, you know, with the capacity that we put in place. So that was definitely true. And then in terms of, yeah, the start to the year, you know, it's not that customers are particularly talking to us about any particular issue, but we're just finding that, you know, demand is looking pretty good, particularly Europe, North America. Probably less so Brazil. I think Brazil's summer doesn't look like it'll be amazing. Q4, you know, actually went into negative growth as I mentioned in the remarks in the market. After a super strong first part of the year. And it still looks a bit bumpy. I think the consumer environment is weak. Obviously, a strong dollar is never good for Brazil. So look. We still, you know, both to go out Brazil growth. We think, you know, 3% to 5% is not impossible for the year at all, but it's gonna come more second-half weighted by the look of it. So no. I think it's more that Europe, North America customers still seem to be leaning into the can for all the reasons we've talked about sustainability, competitiveness. And as I say, you know, we can sort of point out that the PPI headwind is a slight drag on our results, but from a market point of view, it obviously makes the can very competitive for our customers. So it does help drive volume. So yeah, as we look at it, sitting here today, you know, we'd be hopeful of a good year on the volume front.
Gabe Hajde: Yep. Understood.
Oliver Graham: Thanks, Gabe.
Operator: And ladies and gentlemen, that concludes today's question and answer session. I'll turn the call back to Oliver Graham for any additional or closing remarks.
Oliver Graham: Thanks, Lisa, and thanks everyone for joining. So just summarizing, obviously, we had a good Q4. It was ahead of expectation. We grew across the year by 3%. And we do see the beverage can taking share across our markets, and that gives us confidence in further growth into 2025 and further growth in adjusted EBITDA. So we look forward to talking to you all again at our Q1 results. Thanks very much.
Operator: And that concludes today's call. Thank you for your participation. You may now disconnect.